Operator: Ladies and gentlemen, thank you for standing by and welcome to the Capital Product Partners Second Quarter 2014 Financial Results Conference Call. We have with us Mr. Ioannis Lazaridis, Chief Executive Officer and Chief Financial Officer of the Partnership and Mr. Jerry Kalogiratos, Finance Director of Capital Maritime and Trading the Company Sponsor. At this time all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions). I must advise you today the call is being recorded on Friday, 25th July 2014.  The statements in today’s conference call, that are not historical facts, including our expectations regarding developments in the markets, our expect charter ratio for 2013 and 2014 and expectations regarding, our quarterly distribution may be forward-looking statements such as defined in Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements involve risks and uncertainties that could cause the stated or forecasted results to be materially different from those anticipated. Unless required by law we expressly disclaim any obligation to update or revise any of these forward-looking statements, whether because of future events, new information, a change in our views or expectations to conform to actual results or otherwise. We assume no responsibility to the accuracy and completeness of the forward-looking statements. We make no prediction or statements about the performance of our common units. And I now would like to turn the conference over to our first speaker today, Mr. Lazaridis. Please go ahead, sir.
Ioannis Lazaridis: Thank you, Chris, and thank you all for joining us today. As a reminder we will be referring to the supporting slides available on our website. As we go through today’s presentation. On July 22nd, our Board of Directors declared a cash distribution of $0.2325 per common unit for the second quarter of 2014, in line with the management’s annual distribution guidance. The second quarter common unit cash distribution will be paid on August 15th, to unit holders of record on August 7th. The Partnership’s operating surplus for the quarter amounted to $26.9 million, which is $29.7 million higher than the $56.6 million in the second quarter of 2014. I would like to remind you that the Partnership’s reported operating surplus for the second quarter of 2013 included $32 million gain related to the sale to a third-party of Partnership’s claim against OSG and certain of OSG’s subsidiaries. The Partnership also announced yesterday sponsor Capital Maritime and Trading Corp three containerships and two product tankers expected to be delivered to customary time between March 2015 and November 2015, at prices below current market value. In addition customary time will provide the Partnership with the Right of First Refusal of the six additional product tankers expected to deliver to Capital Maritime between September 2015 and December 2016. These vessel purchase transactions are contingent upon among other things the Partnership amending its Partnership Agreement to revise target distributions to holders of Incentive Distribution Rights. The amendment to the Partnership Agreement would be subject to among other things unit holders approval at the Annual Meeting. Finally, we have extended the charter of motor tankers Assos to Capital Maritime for additional 12 months at the same rate as before of $14,750 per day gross plus profit share for right trading. Turning to Slide 2, our revenues for the second quarter of 2014 were $47.4 million compared to $41.8 million in the second quarter of ‘13. The increase is mainly a result of the Partnership’s increased fleet size and improving employment day rates for certain of the Partnership’s vessels. Total expenses for the second quarter 2014 were $35.5 million compared to $30.8 million in the second quarter of 2013. The increase is being mainly a result of the increased fleet size of the Partnership and the expenses related to the repairs of the motor tankers Assos and Atrotos following their delivery from the previous charters. General and administrative expenses for the second quarter of 2014 amounted to $1.6 million compared to $3.4 million in the second quarter of 2013, the decrease resulting from the Partnership’s Omnibus Incentive Compensation Plan investing fully in the third quarter of 2014. Total other expenses, net for the second quarter of 2014 amounted to $4.2 million compared to $3.6 million for the second quarter of ’13, the increase due to the increased indebtedness of the Partnership compared to the second quarter of last year. The Partnership’s net income for the first quarter of ’14 was $7.8 million or $0.04 per unit after taking into account the preferred interest and net income attributable to the Class B unit holders. Moving to side 3, you can see the details of our operating surplus calculations that determine the distributions to our unit holders compared to the previous quarter. Operating surplus is a non-GAAP financial measure, which is fully defined in our press release. Adding certain non-cash items back to net income, we have generated approximately $26.9 million in cash from operations before accounting for the Class B preferred unit distribution. After adjusting for the Class B units distribution, the adjusted operating surplus amounted to $22.9 million, which translates into 1.1 times common unit coverage. On Slide 4, as of June 30, 2014, the Partners’ capital amounted to $750.5 million, which is $30.9 million lower than the Partners’ capital as of December 31. This decrease primarily reflects the payment of $50 million in distributions since December 31, 2013. Overall, our balance sheet remains strong with the net debt-to-capitalization of 37.4% and with Partners’ capital representing 54.9% of our total assets. Turning to Slide 5, we are pleased to have agreed to acquire from our sponsor Capital Maritime three Eco-Flex 9,160 TEU container vessels with five year charters attached and two 50,000 dwt eco MRs with two year charters with deliver in 2015 at prices below current market values. CPLP will also have a Right of First Refusal an additional six 50,000 eco MRs with delivery in 2015 and 2016. In return, the target distribution to holders of Incentive Distribution Rights will be amended us by the table on the slide and CPLP will pay cash $311.5 million to Capital Maritime. The agreement is subject to unit holder approval at the Annual General Meeting of the Partnership, scheduled for August 21, 2014. As you can see on Slide 6, the proposed transaction is expected to be accretive to the Partnership’s distributable cash flow and it carries a number of further benefits for the Partnership. First, our sponsor agreed to contribute the five vessels at prices below of current value. Second, the transaction will provide through their setting of IDR threshold meaningful additional economic incentives for the sponsor and owner of the General Partners, Capital Maritime to continue to grow the Partnership and the common unit distribution. Thirdly, our sponsor agreed to backstop the employment of two eco MR at 17,000 a day plus 50/50 profit share for two years in case they’re not fixed the third party prior to delivery thus providing cash flow visibility. Fourthly, the Partnership secures further growth as it obtained the Right of First Refusal on the additional six eco MR that the sponsor currently has an order in case these vessels find a way to the Partnership. On Slide 7, you can see the details of the committed and optional vessels. We have agreed to acquire each of the three container vessels at the price of $81.5 million. These high specification vessels are currently under construction at [indiscernible] and are the latest eco wide beam design with 1500 capacity and optimized for multiple [indiscernible]. On delivery from the shipyard in June, August and November 2015 respectively, they will commence a five-year charter within industry leader CMA-CGM at the gross rate 39,250 per day. In addition, we have agreed to acquire from Capital Maritime two product tankers for $33.5 million each currently construction at Samsung. Upon the respective delivery of these vessels in March and June 2015, the two MR tankers will commence a two year charter with Capital Maritime at $17,000 gross per day plus profit share Capital Maritime retains the option to charter these vessels out to third party at the same or better terms. These two vessels are part of the series of a total of eight new building type specification medium range IMO II/III product tankers of the latest eco-design under construction at Samsung and include a number of excess and operational upgrades. As previously discussed the partnership has the right of first refusal on these remaining six MRs which are expected to be delivered between September 2015 and December 2016. Turning to Slide 8; you can see our current fleet profile. The partnership fleet is built at first Teu (ph) yards and of high specification and this comprised of 18 product tankers, seven Post-Panamax container vessels, four Suezmax tankers in one Cape bulk carrier and has more than tripled since our IPO in 2007. The average fleet age stands at 6.3 years compared to 9.6 years for the industry average. Turning to Slide 9, and taking into account the new charter of actual, the average remaining charter duration is 8.7 years. We have four product tankers and up to three Suezmax tankers that will see their charters expire over the remainder of the year. Turning to Slide 10, we’ll review the product tanker market developments in the second quarter of 2014. Spot earnings for the second quarter of 2014 remains weak as productivity was negatively affected by refinery outages in the U.S. Gulf, resulting from a prolonged refinery maintenance period in the region and lack of arbitrage opportunities we have landed. Since the end of the quarter refinery utilization rates in the U.S. Gulf have returned to normal seasonal levels and as a result we have seen recently an improvement in spot rates ex U.S. Gulf on the back of increased product exports. The product tanker period market remains active in the first half of the year with a total period features. Period rates modestly declined as a result of the softer sport market. We expect that the medium to long run the product tanker time charter market will improve on the back of stronger oil demand, rising exports on the U.S. Gulf and favorable changes in the refinery landscape. For 2014, analysts have revised upwards their expectations for product tanker demand growth with the estimate of 5% to well above net fleet growth was estimated at 3.5%. The MR order book seems to have stabilized observing the activity for MR tankers declined slightly during the first half of the year, with most quality shipyards having now exhausted their capacity through 2016. Delivery slippage for the first half of the year is estimated in the region of 21%. Turning to Slide 10; Suezmax spot earnings declined in the second quarter of 2014, compared with the previous quarter but at notably stronger levels than the second quarter of ‘13. Lower imports to the East and Europe kept rates under pressure in the first half of the quarter but the market subsequently recovered as European and Asian refineries return from maintenance and the oil supply disruption in Iraq and the Middle east boosted crude oil demand. The Suezmax period market saw signs of increased activity with period rates improving, as expectations for a sustained recovery in the Suezmax spot market increased demand for period coverage. Oil demand is said to increase sharply to a high of 94 million barrels a day in the fourth quarter from the low of 91.4 million barrels a day in the first quarter according to the IEA. Suezmax tanker deadweight demand is expected to grow by 3.9% for the full year 2014, driven by increased crude shipments from the Atlantic Basin to the Far East as Asian charter is diversified at [indiscernible]. Finally, given the market backdrop over the last couple of years, very few new Suezmax order are in place which should help improve the demand supply picture going forward. The total Suezmax order book now stands at 7.8%, the lowest in percentage terms since 1996. For 2014 analysts expect the Suezmax fleet to largely remain unchanged or possibly contract as the Suezmax order book for the first half of 2014 experienced heavy slippage of approximately 67%. The combination of the improving demand fundamentals for Suezmax and the zero to negative fleet growth project for the remainder of the year bode well for sustained recovery of the Suezmax spot and period market from the historical lows experienced over the last couple of years. In conclusion, we are very pleased to see the improved operating surplus of the partnership for the first half of 2014, which primarily is the result of the test we have taken during 2013 to grow the partnership by increasing our fleet size by a total of five container vessels each with long-term period coverage. The proceeds for the product tanker market remain overall positive for 2014, as there is solid activity in the period market with rates having declined only modestly despite weaker spot rates in the first half of 2014. Demand for product tankers is expected to remain robust due to continuous growth of U.S. exports of refined products and refinery capacity location. The partnership has the opportunity to enter into a new growth phase. The proposal to reset the Partnership's Incentive Distribution Rights in exchange of the commitment of our Sponsor to drop down certain vessel assets at attractive values is expected to substantially increase the asset value and cash flow capacity of the Partnership and provide the basis for distribution growth. With that end, we currently ask our unit holders to review the proxy which is out on Monday July 28. Our Board of Directors ending the case of the dropdown transaction also our Congress Committee unanimously recommend that our unit holders vote in favor of the proposal put forward in AGM of August 21. And with, I am happy to answer any questions you may have.
Operator: Thank you, participant. (Operator Instructions) Your first question today comes from the line of Jon Chappell from Evercore. Your line is open.
Jon Chappell - Evercore: Couple of quick questions on the transaction, what’s the percentage of approval from the unit holders do you need for the amendment to go through?
Ioannis Lazaridis: Your will find already there in the proxy, but we need the majority of both the common and the class B unit holders voting at majority in each class.
Jon Chappell - Evercore: And I guess I won’t ask anymore question that I may be able to find in the proxy.
Ioannis Lazaridis: There is a lot of detail in the proxy and I certainly encourage you to read.
Jon Chappell - Evercore: I appreciate that. You’ve talked about accretive to cash obviously in the potential for the distribution increase, should I assume that once approval is taken there may be a roadmap or some guidance given about the timing of distribution increases post-delivery of the ships?
Ioannis Lazaridis: Myself I cannot answer that. I believe that this is going to happen subject to Board approval, but I think that in order to estimate the accretion yourself and try to see what the roadmap maybe, you have to make certain assumptions of the existing vessels the charter opportunities also you have to see how will it finance our existing that before become amortizing and also it depends on the terms of the financing of the new vessels. I said, we believe that to be accretive to the distributions on the regular basis. And this is based on the basis of 1.1 times coverage.
Jon Chappell - Evercore: Okay, I was going to ask about the financing of the new ships as you think about kind of new debt versus equity potential, how you’re thinking about the financing for those five?
Ioannis Lazaridis: Look, when it comes to the financing of the five, we will review our options that the financing will depend on the terms that will be available. And as mentioned in the past, the Partnership has about $150 million in available liquidity and there is current facility, and given that the price of this is approximately $311 million in the time that the debt element is already in place.
Jon Chappell - Evercore: Got it. Timing of the management transition, I am guess you’re hoping this is your last earnings call, any update on the timing and naming of a new CEO?
Ioannis Lazaridis: I believe that this is my last call that’s true. And secondly, we will make an announcement in September and we expect the new manager who has been identified, Jonathan.
Jon Chappell - Evercore: Okay final quick thing, you’ve mentioned in the press release Assos and Atrotos had to undergo some repairs following the charters, can you give any color to how much those cost any of by the time associated with those? And then more importantly do you expect that to occur to other ships as they roll off their time charters?
Ioannis Lazaridis: I’ll start from the last one. Now, this was particular trade that was domestic trade in Mexico, one vessel on the West Coast the other on the East Coast and they had very frequent discharge and loadings every week. And one of was doing actual rate meaning that they had to be totally cleaned and the hit on the earning was mostly because of the off hire. The combined off hire was north of 55 days that was certainly a runoff and that certainly affected our operating surplus and the distribution coverage despite we manage to have a coverage of 1.1 times. And our associated cost will be partly compensated for it but overall was in the region I believe 200,000, 300,000 or 400,000, I cannot recall correctly within extraordinary and normal OpEx.
Jon Chappell - Evercore: And was that on the second and do you believe into third?
Ioannis Lazaridis: No, it’s all the second quarter. The vessels are already commenced the new charters from [indiscernible].
Operator: Next question comes from the line of Ben Nolan from Stifel. Your line is open
Ben Nolan - Stifel: So few questions also on transactions, so when thinking about the new vessels that you will be acquiring and the cash associated with that. Is it fair to assume that the partnership won’t have any cash outlay until the delivery of the vessel? Is that how the schedule would work?
Ioannis Lazaridis: You will see the proxy that there is going to be an initial outlay of 30.5 million by the partnership to Capital Maritime at 30 days after the approval in the AGM.
Ben Nolan - Stifel: That’s another one of those questions that I guess I could have read in the proxy. The other and this maybe in the proxy as well although I don’t know. Can you maybe quantify for me how much you guys are assuming the discounted asset value of these ships is relative to the appraised value? What sort of benefit or would some unitholders be getting out of the discounted price?
Ioannis Lazaridis: I hate the [indiscernible] but you will find that as well in the proxy, but this subject to valuations we received from third parties the discounts we’re getting between $29 million to $43 million based on appraised values recently. And that you will see the analysis of that.
Ben Nolan - Stifel: And then hopefully this last one is unrelated to that. So when you’re thinking about going through the process of what ships to put into this arrangement. I know that Capital Maritime has quite a few more containerships that are on order. How was it that you guys came to the decision to include these three containerships? And then the two product tankers as opposed to including more of the containerships? Or I mean what was the rationale behind these five ships in particular?
Ioannis Lazaridis: Let me clarify, these are the only containerships that Capital Maritime owns 100%. There are a number of containerships that Capital Maritime is building together with the joint venture partner which joint venture partner is a majority owner of this joint venture. And what will happen with those it will depend on the decisions at the time. But these vessels are not delivering before 2016.
Ben Nolan - Stifel: And then effectively that’s all of the MR product tankers. There are no other?
Ioannis Lazaridis: That’s right. I think that all unitholders I think should have a look at it.
Operator: Next question comes from the line of Michael Webber from Wells Fargo. Your line is open.
Michael Webber - Wells Fargo: Just a couple of follow ups on the deal. Regarding the initial cash outlay that you mentioned to Ben. What’s the thought process around that in terms of the incremental carry for all the unitholders with an installment payment?
Ioannis Lazaridis: Your line is not great but as I understand you are asking about the cash outlay. In shipping this is a standard transaction, when a seller commits vessels to buyer engages 18 months ahead of delivery at recent prices, no money there is a deposit, so that’s what it is.
Michael Webber - Wells Fargo: I get the thought process with most MLP structure is the parent level of drop down the MLPs. So I guess the initial outlay for the MLP seems a bit surprising. In terms of how you guys think about reserving for the new assets and internal calculations goes, and driving that up with a discounting asset value. How should we think about reserving for those new assets? How are you thinking about but maybe on a percentage of EBITDA basis is it going to give you an opportunity to head along, kind of reset the way you’re thinking about reserves as well?
Ioannis Lazaridis: Look the way we have calculated the attrition and our attrition assumptions are subject to 1.1 times distribution coverage. So the way you treat these 0.1 above the one-times that’s a replacement CapEx for the hold back that is something to be determined.
Michael Webber - Wells Fargo: So that’s similar to the way you guys have been calculating, you’re not taking it below or above the line and keeping excess cash flow again at the bottom, that one timers that are basically.
Ioannis Lazaridis: As I said the line is not great but the assumption that we’re making is on an ongoing basis we’ll always distribute on the basis of 1.1 times. That was the basis against which we have determined the attrition (ph).
Michael Webber - Wells Fargo: And then just one more follow up, just in line with the discount that the [indiscernible] will be getting in those assets and exchange or resetting the IDRs. It seems like the midpoint is roughly 10%?
Ioannis Lazaridis: A little bit more, because I said that the discounts are getting between 29 million and 43 million and the total consideration is 311.
Michael Webber - Wells Fargo: And that’s sort of inclusive?
Ioannis Lazaridis: In the containers, yes.
Operator: Our next question comes from the line of Shawn Collins from Bank of America. Your line is open.
Shawn Collins - Bank of America: Can you talk about your thought process and why you are doing all five ships at once, which is a rather large deal rather than doing one at a time apparent which would allow you to grow the distribution kind of slow and steady. Was it a balance between the opportunity to get all five at once how do you compare that to your business outlook for both asset values and charter rates?
Ioannis Lazaridis: As we mentioned this is a transaction together with which we are asking the unitholders to approve the reset of the IDRs. So we wanted to give visibility to the unit holders of the potential growth that the partnership can have. After all these vessels would not be delivered at the same time, we have different delivery times as mentioned the deliveries are between March and November 2015. So the deliveries of these vessels are over the course of close to a year. So we believe that as we said in previous calls in the past quarters that it’s important to add visibility. And by doing a transaction in its totality, it brings a bigger benefit as the prices that we have managed to agree with Capital Maritime at a considerable discount to the current market values. I don’t think we would have been able to get a similar discount had this transaction being one-one basis.
Shawn Collins - Bank of America: And then can you, second follow up question. Can you comment on your outlook for the containership market just given that now you’re going to go from three containerships to nine containerships?
Ioannis Lazaridis: We currently have seven containerships five of which are charted until 2025, and three subject to -- their options are charted until 2017. So near-term at last the three vessels that we’re bringing down are chartered four, five years, so until 2010. So what happens in the near-term in the container market is not as important to us but I will pass it across to Jerry Kalogiratos to tell you what are the current status of the container market.
Jerry Kalogiratos: The Post Panamax container market especially for Wide Beam Eco ships is still a very interesting segment of the market in what is otherwise and has been for the last few years a depressed market with regard to containers. But you have to understand that the attraction of those ships which are similar in terms of that eco characteristics to our existing 5,000 use is that they offer charters very big benefit in terms of savings. They are optimized for slow stemming; very often these ships are optimized for 17 to 18 months when the older designs were optimized for 25, 26 months. They have divided engines, they have energy saving devises. And in addition they offer a bigger intake when it comes to the boxes (ph). So for liners that despite the overall depressed market over the last few years and the short-term outlook, liners have been willing to pay up in order to obtain this benefit. So we have been active in a very specific segment when compared to market which we expect that we will continue to be in demand in the short to medium term.
Operator: There are no further questions on the telephone lines. (Operator Instructions). There are no further questions. Speaker please continue.
Ioannis Lazaridis: Well thank you very much everybody for finding the time and we’re looking forward to your questions following the proxy being sent out on Monday. Thank you very much. 